Operator: Good morning. My name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to the 2018 first quarter results conference call. [Operator Instructions]. This conference call contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. The words believe, expect, anticipate, intend, estimate, may, should, could, would, plan, future containment and other expressions that are predictions of the [Technical Difficulty]
Stanton Ross: Hey, Melissa?
Operator: The forward-looking statements are based largely on your expectations or forecast of future events can be affected by inaccurate assumptions and are subject to various business risks, unknown -- and unknown uncertainties, a number of which are beyond our control. Therefore, actual results could differ materially from the forward-looking statements contained in this document and readers are cautioned not to place undue reliance on such forward-looking statements. Digital Ally undertakes obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. A wide variety of factors could cause or contribute to such differences and could adversely impact revenues, profitability, cash flows and capital needs. There can be no assurance that forward-looking statements contained in this document will, in fact, transpire or prove to be accurate. I will now turn the call over to Stan Ross to begin.
Stanton Ross: Thank you very much, everybody, for joining us today. I've got with me Tom Heckman, the company's CFO. I know we all had a conversation just a few weeks ago, so we did have several developments that have occurred and also some highlights in regards to some of the numbers that we wanted to make sure and point out as we had indicated some of the strategic moves that we've made to try to get the company back to a positive EBITDA and including profitability in the near term. So Tom, I'll let you hit the numbers, and then we'll move forward on our strategic alliance opportunities, litigation and Q&A.
Thomas Heckman: Thank you, Stan, and welcome, everyone. I appreciate you joining us this morning. I do refer you to the 10-Q, the Form 10-Q, that we filed with the SEC earlier this morning, it's a more complete rundown of the quarterly events and activities and financial conditions. So please refer to that for a larger discussion of operations on that. What I'm going to look at is more of the significant developments and some of the trends that we are seeing in our financials. I know it's hard to say and believe that we saw improvement in a quarter that we had a $2 million operating loss. But let me discuss a little further and get into the numbers and the trends and what we're seeing and what we're optimistic about. First of all, we did have a revenue shortfall. We were $400,000 less than the fourth quarter 2017 and $2.7 million less than the first quarter of 2017, the year-ago quarter. But the thing that we need to keep in mind is we ended the quarter at $705,000 in order backlog that could have been shipped had we had the product. There was a supply chain issue, principally from our Asian suppliers, our Pacific Rim suppliers, that stopped product flow towards the end of the quarter and made it difficult to do that. We've largely had that rectified now, and we do believe that we'll get caught up and be at or near zero backlog at the end of the second quarter. So that was a temporary event caused by a supply chain glitch, primarily some cable manufacturers weren't able to supply components timely. So in any event, you had that $700,000 of backlog to our revenues for the current quarter, it paints a far different picture than the $2.5 million total revenue that we're currently showing. Also, bear in mind that a year ago, in the first quarter of 2017, we had just begun the AMR contract and then it yielded about $600,000 or $700,000 of contract revenue, both service and installation and product revenue in Q1 2017 that did not recur in 2018 first quarter because of the hold put on the contract by AMR. I'll talk about that a little bit later here, but we see some good signs that, that contract may be moving towards being reinstated shortly, but in any event, had we shipped all our backlog at the end of the first quarter, our Q1 2018 revenues would have been the best quarter we've had since the second quarter 2017, almost a year ago. So it really provides a better view of the trend in revenues, especially because a lot of the revenues are being generated by service, which are at higher margin and more predictable and recurring in nature. So we're pleased with that trend. Again, the AMR contract, let me give you some further detail on that. We started doing an upgrade and update process, including installing ATU units, asset tracking units, back in the third quarter of 2017, roughly 1,600, 1,650 units that we agreed to go in and update, upgrade and install the ATU units. And by the way, we would, therefore, have recurring service revenue from the ATUs. We've got all but about 150 units upgraded at this point. It's been a very successful process. We've upgraded, updated all the units and the issues that were being experienced are not recurring, or certainly not recurring to the status that it had before. So I think both sides are very happy with the results of the upgrade process. With that, we believe we're currently looking at and quoting expansion of the contract to several large cities in the U.S. here in the second quarter. Don't know that we'll get those pulled in and installed and booked in Q2, but I think we'll have something to talk about, certainly during the next quarter's conference call about starting with a couple of large cities being installed in the AMR contract. We really do expect that AMR will begin to return to a normal purchase pattern in the second half of 2018, and that would be well received by the company. We're excited to get that thing back on point of where we started. And it's unfortunate the events had happened, but we believe it'll be back to a more normal purchase pattern in the second half of 2018. We'd spoke a little bit earlier about service revenues. And service revenues, I think, the last quarter, we spoke about that we already had booked over $1 million in service revenues for 2018, recurring service revenues. I call it mailbox money. Every month we get a check or every quarter we got a check for the service that we provide. With that, we did have a very significant contract award that we announced yesterday from a company called zTrip, and I will go into that in more detail later on. But with the addition of that zTrip contract, obviously, service revenues are going to improve substantially throughout 2018 and into the future, it's a 36-month contract. So the trends in revenue are very positive. I can't underscore that enough that we're moving to more of a service revenue model and, hopefully, the AMR contract gets back to a more normal pattern, and we're able to ship product and not leave it in backlog. So I'm very hopeful that the second quarter will be very much more optimistic than the first quarter in terms of gross dollars and revenue. Secondly, let's look at gross margins. Gross margins, we hit 45%, which represents our best gross margin since the third quarter of 2016. So that's been quite a while ago. So we've worked through our product issues, our QC issues. We believe that our QC program is working, and it's showing in our gross margins. And we expect the margin improvements to continue. Particularly in light of the service revenues becoming a larger part of our overall revenue. Service revenues have very little cost -- direct costs associated with them, it's primarily a fixed cost that you build these programs and cloud-based initiatives with R&D dollars in the past, and then you recoup them, obviously, through service revenues. So as service revenues grow as a percent of our overall revenues, we believe our gross margins will also improve significantly. We've always said that our goal is a 60% overall gross margin long term, that remains our goal and I think we're taking steps in that direction. And with the first quarter coming in at 45%, the best since 2016, I think we're demonstrating the trend has changed and moved in the right direction. Let's look at overall SG&A expense. That's a very nice trend that we're noting there. As you recall, we instituted a staff reduction and SG&A cost control program late in 2017 that really got implemented into totality in late January 2018. So we're seeing the effects of that. If you look at the gross dollars in SG&A expense, we were $800,000 less in gross dollars -- gross SG&A expense in Q1 versus the previous quarter Q4 2017, $800,000 less. And if you look at Q1 of 2017, we were well over $1 million less in total SG&A expense. So obviously, it's a very good trend. The gross SG&A expense dollars were the lowest since the second quarter 2014. So you got to go back quite a ways, almost four years to see dollar -- SG&A expense dollars that low. So we're proud of what we're doing there. Now recall that we implemented it towards the end of January or the biggest piece of it towards the end of January, so we didn't get a full effect during the whole quarter in the Q1 2018 numbers. We do expect the full implementation or the full effect of those cost-reduction measures certainly in 2000 -- I'm sorry, second quarter 2018 and beyond. So we expect better things in the future from our SG&A expenses. Obviously, that was a huge expense, and we believe it'll be a major part of our turnaround here. Let's move to some of the other areas, the significant developments. First of all, let's talk about the NASCAR affiliations that we announced, I think, in late 2017 or early 2018. I must say that as an accountant, I was a little weary of entering into such an agreement, but I -- from a first-hand standpoint, I've seen the tremendous marketing success that, that platform has provided us. I can't speak high enough about the caliber of people and the introductions and the networking and the sponsorship that NASCAR has provided. And quite frankly, I think I said before, that a company our size typically does not have access to that kind of network, and we're very proud of being part of the NASCAR affiliation and support group, and we expect some very big things, revenue-wise, in the future from that partnership. We're talking about companies that everybody knows, everybody sees or everyday names in everybody's life in the United States, and we -- we're excited about trying to close some deals that we're talking about with those type of companies. It's very, very exciting for us. Okay, let's talk about zTrip. Hopefully, everyone's had a chance to look at the press release that we issued yesterday. We were awarded a significant contract by zTrip LLC -- or Inc., I think it is. It's a Kansas City based company. It's rather new. But for those -- they are in 19 cities right now, so some of you all might recognize the name, many probably don't. But it's a very important win for us and indicative of future strategy, especially in the commercial space. If you look at zTrip, it's a different slant on the rideshare platform. zTrips are at-base dispatch, very similar to the typical rideshare companies that everybody's familiar with. But the difference between zTrip and the other rideshares is that zTrip actually owns the cars, and they pay for the insurance. So they have the risk of both of the asset and the liability associated with driving people and drivers, and so on and so forth. So they are very intent on managing and monitoring the drivers and, for that matter, the passenger interaction that happens in their vehicles. And they plan to make that a central part of their marketing plan and their way to differentiate themselves from the other rideshare platforms. Everybody's heard, everybody seen in the news of events, of tragic events and unfortunate events that happen in some of these other rideshare platforms, and zTrip has put our system as a central focal point of their overall safety and strategy for both the drivers and passengers. So they believe this will be a big marketing tool for them, as well as an expense and liability management tool since they're paying the insurance and obviously they would pay any claims that resonate from that. So we're excited about being part of the zTrip future. Let me give you some numbers. Right now, they have 450 units in Kansas City, those are the ones that we announced yesterday were going to go through an upgrade process where we're going to hook them to the cloud-based FleetVU platform. Previously, they had them, but they were locally managed and not centrally managed to the cloud. They saw the tremendous value of the FleetVU platform and they're going to go ahead and update all 450 units in Kansas City to the FleetVU platform. Beyond that, currently, they have 5,000 units in 18 U.S. cities as we sit today. Their intent is to move our platform, our DVM-250 and FleetVU flatworm throughout their existing operations. And just to show you how they're growing, they're telling us that they expect to grow to 30 U.S. cities by the end of 2018 and more than 16 international cities by the end of 2018. So more -- well more than doubling in the number of locations by the end of the year. So they're expecting big things, we're behind them and very proud to be part of their explosive growth story. So that's a little bit about zTrip. We're starting those upgrades of the 450 units immediately, and hopefully, we'll move quickly on to the other locations, which would include both product revenue as well as service revenue throughout 2018. And by the way, it's a 36-month service contract involved in those. So it's a very, very nice win for us, one that we're very proud of. Let's talk about VIEVU. Many of you have probably seen the news that Axon/Taser bought VIEVU earlier this month. And it's really too early to tell what impact, if any, that will have on our supply contract with VIEVU. I assume, longer term, there will be some impact to that, maybe good, maybe bad, I just don't know. But we have no idea, not had discussions regarding what the motive or intent was of Axon to buy VIEVU, but we suspect and can guess that it had something to do with getting their hands on our technology. One way or another, they obviously need that given the commitments they have to their customers. So it's really too hard to tell what the impact that will have. We hope that it's positive for us, but we just don't know at this point, and we will keep you guys apprised of what's going on there. Let's talk about the private placement that we announced earlier this month as well. On April 3, we completed a $6.05 million convertible debt with attached -- or detached warrants private placement to several new institutional investors and several of the older institutional investors that have been part of our previous deals elected to participate in that plan. So we're very happy to have the new investors onboard and new institutional investors onboard, and we believe that, that tells us that we're doing the right things to keep this thing going in the right direction and back to profitability. We used the convertible debt proceeds to pay off some maturing debt, which was maturing at the end of the quarter. And just to give you a thumbnail on the terms, it's 8% with a 13-month maturity date. It's convertible at $2.50 per share, and the tax warrants have an exercise price of $3 per share. So it was a nice deal for us, I'm glad we got it done. And that, especially given the new institutional investors that are involved, we're very happy to get that done. Let me touch briefly on litigation. I know Stan will probably delve into it deeper, so I'll keep my comments brief on that. Professional fees during Q1 2018 were roughly 400k, $400,000, which is almost the same as a year-ago quarter. I think it was $428,000 in Q1 of 2017. So really not much change from last year to this year in terms of litigation cost and professional fees. However, we do expect that to continue and probably accelerate here throughout the rest of 2018. Bear in mind, the Axon litigation, the stay was lifted earlier in the quarter and we are now moving to trial, and so we're going to have some additional fees associated with that. The WatchGuard litigation is currently stayed until June, I can't recall the date, June 7, 8, 9, somewhere in there, when the IPR ruling will come down from the patent office regarding the '292 Patent. Once that's issued, one way or another, then we'll move very quickly to lift of that stay and probably move towards trial as well with WatchGuard. So in any event, by the end of June, or certainly by July, we should get WatchGuard litigation moving forward to conclusion. And that's, obviously, a good move for us. We want to get this thing done and have them answer for the patent infringement that's been out there for quite a while and affecting our revenue. So with that, I'll turn it over to Stan. I'm sure he'll have more much more to talk about the litigation and maybe even zTrip.
Stanton Ross: Yes, and thanks a lot, Tom. Just staying, I guess, with the litigation side of things. Things are really at a point where they're going to come to a head, obviously, in June. Really, it doesn't matter what the outcome of the IPR is at the patent office because of the fact that we already have two patents that are out there that have already handled the -- I guess, the invalidity attempts that both Taser and WatchGuard have made. So there are patents in place that have already been challenged that will allow us to move forward on the litigation against WatchGuard and be able to lift the way to where we'll be able to get that process moving forward. And as I mentioned on our year-end call in regards to litigation, our -- we have a pretrial date of July 24 set with the courts to, I guess, get to the point where we're going to finalize, have discovery, finalize and actually set a final court date and timing of selected jury. So the July 24 is coming upon us rather quickly as well. That being said and jumping back a little bit to the VIEVU and the Axon purchase of it, it really plays out pretty good for us no matter how it plays out. Because on one side, if they go ahead and live up to their obligations that are in the distribution agreement, you've got a situation where they could be presenting a sizable order with us that would have a very, very nice profitability for us. So that would assist greatly in the cash flow for the company. If they elect not to continue their obligations under the agreement, then it also opens up the ability for us to go out there and start monetizing it with several of the other players that we have talked to over, let's say, the last couple of years, so we could move forward on the monetization of that. So no matter how it plays out on the VIEVU Axon acquisition front, we look pretty confident and comfortable that we'll be able to go out and to be able to monetize our technology for the auto activation fairly soon, and not have to worry about just doing it through the courtroom, too. So that's pretty good. The strategic alternatives that we've looked at, I've mentioned that -- and again, it was just a few weeks ago we were talking. But we continued to have corporations visit us here in Lenexa, in Kansas, and we continue to provide information to those parties that have requested information concerning opportunities. As we've mentioned, we have been -- had inquiries that stem from companies that have levels of interest in acquiring the whole company, levels of interest in acquiring a division, meaning either the law enforcement and/or the commercial division. And so we're currently just evaluating all of those. But we don't need to be in a big rush because we know that we've got some things coming down the pipeline real quick in regards to litigation side, and we believe there could be some very, very big rewards there once the court start moving and taking action. And again, a lot of it we got to thank Axon for, where they had recently just won a patent infringement case against a competitor of theirs, and went out and gave their reasoning why a loyalty should be established at -- in regards to a patent litigation case here in the law enforcement industry, and basically requested a 40% royalty and the judge gave them that. So we feel pretty excited that we do sort of have a representation out there, at least of the number of what patent litigation is going for in our industry. And therefore, you guys can do all the back of the envelope stuff in regards to the numbers that have been booked by Axon and the S-1 that WatchGuard filed and get a real rough idea on what we're looking at in regards to damages, let alone the travel damages, which would triple those rewards if we're successful in getting that. So I'm pretty excited about the numbers that we've been able to accomplish on the reduction of the SG&A expense. We're real pleased about the strength of the market, both in law enforcement and commercial. And so I think I said this on our call, we do anticipate both divisions to have strong years and year-over-year improvement. So the outlook looks pretty good. We're excited even about the very near term on what may transpire. So with this, we'll go ahead and open up the lines for a little Q&A session.
Operator: [Operator Instructions]. And your first question comes from the line of Ish.
Stanton Ross: Ish, are you there?
Ishfaque Faruk: Sorry, I didn't know I was on yet. Okay, I -- yes, a quick question regarding the zTrip contract that you guys got. Stan or Tom, could either one of you quantify the impact of this contract with zTrip in terms of what it can do on a monthly basis or over the three years? I think, Tom mentioned, three years.
Stanton Ross: Well, that's difficult to say, Ish, because we don't know how many total units would be out there. They will include both product revenue when we move to the newer cities. And as we grow with that, our service revenues or the typical FleetVU revenues on a monthly basis, but when you add in the product revenues, this thing could get rather large rather quickly. Our standard price or MSRP order is around $1,200 for the DVM-250, just for the hardware. And then you add in the monthly service fee in that. So this thing could be significant near term depending on the rollout pattern to the new locations. And we don't have a good handle on when and -- when that's going to happen. We do have the lineup installers and such, so there's some logistics that we've got to work through as well. But obviously, we'd be happy to work through the logistics. So I don't have a good answer for you other than this will be our largest commercial contract, by far.
Thomas Heckman: Absolutely.
Stanton Ross: No doubt about it, we just don't know the exact timing of the rollout to the new cities.
Thomas Heckman: Yes. We've got some -- a little bit of insight on regards to its immediate needs on areas where there are, believe it or not, Ish, they're starting to be quite a few cities that the airports are requiring video to be in the vehicles if they are going to be picking up passengers for hire. So we've got several cities that he has told us that there's a law passed at the airports where we've got to get units in for him right away. So we're familiar with that. And then the additional rollout goes as far as 45 days from now, we just don't have all that buttoned down yet. But we'll have a pretty good indication and it will be a lot more clearer on our second quarter call.
Ishfaque Faruk: Okay. And in terms of the monthly price for the FleetVU for zTrip, what's the price for the FleetVU for the zTrip contract?
Stanton Ross: Yes. So I apologize, but we have an agreement in there not to disclose that as far as a per unit price, obviously. And you can be assured that with the size of this...
Ishfaque Faruk: Is it the standard fee?
Stanton Ross: No, we gave them a discount. We gave them a discount. It's -- obviously, this is one of the largest ones that we've been able to -- that we have to date. And when you look at that and the ability that it gives us to give discounts in regards to our cloud operations and storage, we were able to go ahead and pass that additional discounts on to them.
Thomas Heckman: Yes. Ish, understand that zTrip expects to use this as a marketing tool to gain ridership versus the other rideshare companies, and even the other taxicab companies. So obviously, they don't want a lot of this information to be out and -- because they are competitive, obviously, and they need to compete in the industry. And they've selected us and we've entered this long-term contract, and reciprocally, agreed not to disclose a lot of the financial details.
Ishfaque Faruk: Okay. In terms of business strategy, you guys have an adviser for like -- for a long time now. Did anything come out of that strategic alignment and any updates on the patent situation? You're missing your revenues by a substantial margin, is this a fundamental shift in the company's strategy going forward?
Stanton Ross: No. I would tell you this, Ish, is that actually, the projections that we have submitted to those that have requested, I think we've been pretty much right on. First quarter was a little bit of a problem because of the cables that we needed to get in that we were unable to get the $700,000 worth of product out the door, but that has been fixed. And so we don't anticipate, nor do we see us coming into a shortfall in regards to the numbers that have been presented out there to the strategic individuals to date. So there hasn't been anyone that sat there and [indiscernible] interest. And you have to remember, we actually held Roth Capital back until we had an understanding of where the litigation stood. So we won our situation in October at the patent office, we won again against WatchGuard in December and then we had the litigation lifted, and the Markman's hearing on March 7. So the aggressive in us in regards to allowing or us moving forward, having companies come to Kansas City, us visiting some of their personnel and their facilities, that's really kicked in, I would say, more in the end of March than it had at any point in time. So we did get them there, they have done a very good job of, I'd say, deterring -- not deterring, but deflecting some of the calls that were coming in and handling it so that we could continue to do the day-to-day business until right now to where we're actually much more engaged, not only with just Tom and I, but we actually have our marketing and engineering teams talking with their side as well.
Ishfaque Faruk: Okay. And in terms of the patent litigation, what is the next near-term event which is pretty material?
Stanton Ross: That I'll say is pretty material, the WatchGuard front just getting past the first -- I think it's the first week in June is what they're looking at coming down with something from the patent office. And no matter how they come down, whichever way they come down, it really doesn't matter. We will then immediately go back to the court down in Wichita, Kansas and say okay, we want to continue to move forward with the two patents that are already being violated and named, and we may go ahead and not even, much like we did with Axon, which we pulled the '292 because the majority of our damages are going to be under the '452. So we were able to pull the '292 to get that stay lifted. And so WatchGuard, you're going to see some movement on it in early June, at least in regards to the request of the stay being lifted, and us getting real aggressive in regards to finalizing any discovery and then moving forward on getting the court date set there. And of course, we've already have that set as far as the pretrial for July 24. I guess, there would be the Markman's hearing that would -- a ruling that could come down, and then we have to do a little bit of a mediation ordered by the court with Axon. But let's all be honest, there's not any probably real expectations of much success on that. So it'll probably move rather quickly to an actual, I want to say, a trial date and selection of jury.
Operator: And your next question comes from the line of Brian Levitt [ph].
Unidentified Analyst: In staying with the courts issues, I guess, the Marksman hearing took place the Axon case on March 7, correct?
Stanton Ross: That is correct.
Unidentified Analyst: And now we have discovery, it has to be completed within 60 days of the finalization of that hearing?
Stanton Ross: That is correct.
Unidentified Analyst: So we're done right now with discovery on the Axon case?
Stanton Ross: Well, it's based upon the 60 days from the Marksman's ruling.
Unidentified Analyst: Okay. So we...
Stanton Ross: So they could rule any day, and then that starts, basically, the 60-day clock.
Unidentified Analyst: Okay. Now that 60-day clock, obviously, has to be done before we go to their pretrial on the 24th, correct?
Stanton Ross: Well, I don't know that you have to have it done, but you could be there and say -- and all parties saying, look, we still feel very confident that we'll have everything done within 10 days or by the 10th of August or something like that. And so you still would be able to have your pretrial and still be able to set there and establish a trial date and the selection of jury. Whether or not we needed an extra week or two to complete discovery, that would not be a big issue.
Unidentified Analyst: Okay. So basically, there would not have to be a request for an adjournment or any type of an extension based upon discovery not being done?
Stanton Ross: I wouldn't see it to be that. I mean, I think even the court would say, "Are you kidding me? You need another week?" I'm not -- I wouldn't -- I would be surprised. But I'm not an attorney, but I -- that hasn't been brought to our attention.
Unidentified Analyst: Okay. Staying with that, obviously Axon had eyes on our contract with VIEVU before they were able to acquire VIEVU. Knowing that, they obviously saw we had a change of ownership in that agreement, correct?
Stanton Ross: Not sure. And again, the agreement, we can't elaborate a whole lot on either. We're -- both parties, Safariland, VIEVU and ourselves, were -- are under an NDA, and there are certain requirements under that agreement that they have to still live up to or they possibly could be in breach of the agreement. Much like us, if we -- we've got some obligations as well, mainly being that we're going to get them a shot to live up to their side of it first. But if they wanted to back out of it, I'm not too sure I have a problem with that. They -- put it in writing, we may accept it and move on with the others. And again, I want to emphasize that there's a lot of big players still in our industry that names don't come up as often because mainly the three of us, the WatchGuard, Axon and us, are in this litigation battle and patent infringement. But you still have companies out there like Panasonic and Motorola and L3, that are companies that also would be very intrigued and respectful of the patents, especially of their size, and would be interested in talking about modernization of the auto-activation technology.
Unidentified Analyst: Okay. And the reason why I'm asking this is, obviously, Axon doesn't go and take over VIEVU without knowing their business relationships and who they're in bed with. I understand you guys have NDAs, I understand they probably signed NDAs as well. But that being said, it's been Axon's major goal for the last three, maybe even four years, to kind of starve you guys out. If they agree with or continue with the contract that you guys had set up with Safariland, it kind of -- it does not kill their strategy that they had for the last 3 to 4 years?
Stanton Ross: True. Yes, I mean, if they go ahead and place the order that is needed to keep that contract alive, it's a very profitable contract for us. And so it would create them a -- it's double jeopardy almost. I mean, damned if you do, damned if you don't.
Unidentified Analyst: They kind of validify, and in the same sentence, they're also putting money in your pocket. I want to stay with that. Obviously, here in New York, we're all eyes on the NYPD and when they're going to roll out their body cameras that have been announced now for a while. Do you have any insight to when NYPD may be getting those cameras rolled out, being that it was with VIEVU, your former partner?
Stanton Ross: I do not. I know that they were very aggressively moving forward with their LE5, which I think the product that's really needed to live up to the commitments on -- that they said could meet. So I have not seen the big roll out yet. The other thing that I'm curious about, which I do not have the information on yet, is whether or not there would be a situation where that particular contract with the New York -- the NYPD, because of a change of control, ownership, whatever you want to say, if that would allow them to go back out for bid. So there's a lot of unknown surrounding this acquisition that they just announced.
Unidentified Analyst: But that NYPD contract must have hands-free activation, correct?
Stanton Ross: I believe that was a request, I don't know that it was a requirement.
Unidentified Analyst: Okay. All right. Let's segue to zTrip. Did we get that relationship based upon your positioning in your home state? Or is that something that came about from NASCAR?
Stanton Ross: No. We had a relationship with them before NASCAR, but it was a situation that they looked long and hard in regards to different companies. A matter of fact, they even tried some other products and bought some other products for some of their other cities. And when I met with them, maybe three weeks ago, they just flat said that while we are both based here in Kansas City, at the end of the day, if it wasn't for the fact that you guys got the best product, I wouldn't be doing this because I'm thinking much larger than Kansas City, obviously. So it was very, very nice, as Tom said, award that we won, and we're very pleased to be part of zTrip and their future and growth. And we'll work right beside them as much -- the best we can to support them.
Unidentified Analyst: And currently, we've got, what, roughly 10% of their fleet agreed upon being outfitted?
Stanton Ross: I think he's pushing -- yes, for right now, but I think is pushing for the majority of it.
Thomas Heckman: Yes, we -- Brian, it's Tom. We've actually got units at some of the other locations as well. I don't have that number in front of me, but it's -- certainly the largest deployment is here in Kansas City, it's 450 units. We probably have another 200 or 300 at other locations. But with the consolidation under the zTrip flag, they have a captive insurance company, so obviously, they're going to try and get everybody in under the same type of liability protection or strategy, if you will. And it's very good omen for us to roll out to all the locations and probably get a full deployment. It won't happen in 2018, but certainly, in the coming years, I could see us being in all locations. And again, they're growing. They're planning to double, more than double in size by the end of 2018. So you got to run fast to keep up with these guys. They're moving quick.
Unidentified Analyst: And right now, they have roughly 5,000 vehicles out there?
Thomas Heckman: Yes. Currently at 18 different U.S. cities, and they're moving to -- gosh, what was it? They're moving to 30 U.S. cities by the end of 2018 and 16 international cities by the end of 2018. So you can see they've got a very steep trajectory. And this is a good concept. When you see some of the safety issues, concerns out there with drivers, and particularly passengers, that you see daily on the news with some of the other rideshares, this is refreshing. This a different alternative, a safe -- "safer alternative" than some of the other rideshares. So it's exciting, and we hope that this concept takes off. It is different than the traditional rideshare because they do own the vehicles and they do have insurance coverage on all of those vehicles. So they certainly have incentive to put our products in there and monitor and maintain and -- passenger and driver safety.
Operator: And there are no further questions at this time.
Stanton Ross: Fantastic. Listen, I like to thank everybody for participating today. I'm real excited that you've got a little glimpse of how our numbers continue to see or be -- coming around as far as the direction that it's going. And we really look forward to being able to talk to you all again in the second quarter. And we will obviously keep you abreast of any pertinent news that would pop up before the end of the second quarter's call. But thank you, all, very much, and have a great day.
Operator: Thank you for joining today's conference call. You may now disconnect your lines.